Operator: Good afternoon, and thank you for joining us today to discuss OptimizeRx's Second Quarter Ended June 30, 2016. With us today are the company's Chief Executive Officer, William Febbo; and its Chief Financial Officer, Doug Baker. Following their remarks, we will open the call to your questions. 
 Before we begin, I would like to provide the company's safe harbor statement. Statements made by management during today's call may contain forward-looking statements within the definition of Section 27A of the Securities Act of 1933 as amended and section 21E of the Securities Act of 1934 as amended. These forward-looking statements should not be used to make an investment decision. The words estimate, possible and seeking are similar expressions identifying forward-looking statements, and they speak only to the date the statement was made. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether because of new information, future events or otherwise. Forward-looking statements are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. Future events are -- and actual results could differ materially from those set forth in, and contemplated by or underlying the forward-looking statements. The risks and uncertainties to which forward-looking statements are subject and could affect our business and financial results are included in the company's annual report on Form 10-K for the fiscal year ended December 31, 2015. This form is available on the company's website and on the SEC website at sec.gov. 
 I would like to remind everyone that today's call is being recorded, and it will be available for replay through August 29, starting later this evening. Please see today's press release for replay instructions. 
 Now with that, I would like to turn the call over to the Chief Financial Officer of OptimizeRx, Mr. Doug Baker. Please -- sir, please proceed. 
Douglas Baker: Thank you, Rufus. I'd like to thank you, everyone, for joining us on today's call to discuss our results for the second quarter of 2016. Following my financial review, Will is going to comment on our operational performance and provide our outlook for 2016. 
 Now turning to our financial results for the quarter. Our net revenue in the second quarter of 2016 increased 12% to $1.9 million versus $1.7 million in the same year-ago quarter. The increase was due to both increased promotion of pharmaceutical brands and expanded distribution channels. 
 Our revenue for the first 6 months of 2016 was $3.67 million, up 15% from the same period last year. Our gross margin increased to 48.3% in the second quarter of -- increased from 48.3% in the second quarter of 2015 to 51.8% in the second quarter of 2016. For the first 6 months of 2016, our gross margin was 50.6%, up from 48.6% in the same year-ago period. The gross margin improvement in both periods is related to a shift in product mix towards products that were not subject to revenue sharing. 
 Operating expenses in the second quarter of 2016 were $1.6 million as compared to $1.0 million in the same year-ago quarter. The increase was primarily due to an increase in expenses related to growth initiatives, including investments in our executive and sales team and related marketing and travel. 
 As of June 30, we had a total of 22 employees, up from 16 at December 31, 2015, but in line with our budgeted of number of employees. Since the comparable quarter of 2015, we've hired several key executives including a Vice President of Client Services, Senior Vice president of Business development, a Senior Vice President of Product and Strategy an additional Vice President of Sales, a new Vice President of Channel and of course, Will, our new CEO. 
 Our operating expenses included a onetime lawsuit settlement expense of $160,000 as a result of a lawsuit that we settled in the second quarter related to the separation agreement of a former CEO that resigned for personal reasons in 2013. Only $50,000 of that was cash, which is a considerable savings as to seeing the case to court. Our net loss was $592,000 or $0.02 per share as compared to a net loss of $157,000 or 1% -- $0.01 per share in the same year-ago quarter. 
 Turning to the balance sheet. Our cash and cash equivalents totaled $7.6 million at June 30, 2016, as opposed to $7.5 million at March 31, 2016. We continued to operate debt free. 
 Now with that, I'd like to turn the call over to Will. 
William Febbo: Thanks, Doug, and thanks, everyone, for joining us today. It's good to be here again. 5.5 months into the position as CEO, I remain very positive on the opportunity we have with all of our clients, our channel partners, investors and the team. 
 I'd like to begin with giving our listeners some context on the total available market we have in front of us. There are approximately 650 retail pharma brands with traditional coupon programs. Our current average eCoupon program is about $125,000. With an ASP like this, it was established prior to our strategic investment by WPP, as you all know, a strong partner and one of the world's largest media companies, and prior to the plan of offering new products and services of our existing client base and brands to enhance our position in the market. Given these brands and the ASP potentially reaching $300,000, it is clear we have a major growth opportunity in front of us. In our favor are many things: first-mover advantage; limited competition; very high barrier to entry given the fragmented nature of the EHR space; our strong balance sheet and, critical to every business, a great team. 
 Here are some statistics that support why our company is in the right place at the right time. 20% of all sales reps actually speak to a doctor. Over $1 billion are wasted on infeasible doctor cost, meaning the rep never gets to the doctor. Doctors spend over 3.3 hours a day at the computer, the EHR, where our point of distribution is. 80% of physicians in the market use an EHR and 85% of physicians are actually e-prescribing.
 On our last quarterly call, I talked about 4 quarter priorities we're pursuing in 2016 and beyond. I want to give you an update on those. The first is to introduce new products and services to our existing client base, grow from within. In particular, we plan to expand our suite of services from the financial messaging, known as eCoupon, to include clinical messaging and brand support. We'll continue to invest and grow financial messaging as the lead product as it has the most momentum and is one of the top-3 products health care providers want to deliver to patients at point of care once they've made the prescription decision. 
 We will also grow clinical messaging by leveraging our exposure through media companies owned by WPP and in the marketplace. In fact, our partnership with WPP is beginning to gain traction, and I'm glad to report 15 new brands for financial messaging and 12 new brands for clinical messaging will be launched in Q3, which equate to approximately $600,000 in revenue. Very happy about this and put a lot of effort on that. 
 Inside of Q2, WPP also completed its acquisition of CMI, one of the larger media buyers for pharmaceutical companies. We are actively training their internal team, so we can work hand in hand with their brands. This is relevant because media companies control the budgets often and advise on those budgets for pharmaceutical brand managers, and particularly, on the clinical messaging side, where we hope to get a lot of growth. 
 Additionally, we've pull together what have been relatively disparate services -- we called before drug file integration, sales force training and return on investment services -- into the new practice called brand support. In '15, that was approximately $0.5 million in revenue, to give you some context. Though this service -- through the service, we help our pharma clients, audit their formulary within the EHR ecosphere, which is the key to adoption and/or prescription of any given drug. Our brand support businesses generated over $800,000 to date, so I believe this would become a significant part of our growth story as well as a solid switching cost or barrier to entry within the market. I'm very encouraged by the results today.
 We also initiated a rebranding of our company during the quarter, to demonstrate our ability to provide financial and clinical messaging as well as brand support services. The entire rollout of the new marketing messaging and materials will be completed in Q3 and ties nicely into the budget planning cycle our clients have for 2017. These tools will allow for more upsell opportunities to existing clients and show potential clients that we are evolving from one product to multiple services in and around point of care. Stay tuned for this in early September. I'm very excited about the work we're seeing. 
 The second key priority, while more operational, is rounding now our leadership team, as Doug mentioned, the sales team as well and also the marketing plan. What we're trying to drive out is to show our leadership to our clients and general partners. 
 During the quarter, we appointed Brian Dillon to the new position of Senior Vice President of Product and Strategy to lead the expansion of our product lines. As many of you have seen and I've talked to from the press release and his bio, Brian brings considerable value to our senior team. I have seen tangible results with channel partners reconsidering a direct relationship, agencies becoming more of a trusted partner and our technology improvements have someone who can go deep on the necessary workflow to maximize the experience for all parties and drive revenue. 
 Also during the quarter, we added 2 new team members to support our direct client outreach and channel partner management. In particular, we added an additional VP of Channel to service our channel partners as well as added an integration specialist to onboard additional channel partners. We believe these additional team members will drive growth with our existing solutions as well as handle new products and services that we plan to launch before the end of 2016. 
 The third priority is to enhance our proprietary technology to improve margin. As Doug referenced before, we're starting to see traction there already by 3% or 4% and get beyond the perception of a one-product company. We have the beginnings of a strong channel with our partners. We now need to bring services, technology and innovation, which are acceptable to our partners and their clients. 
 Lastly, we will bring focus and investment in securing additional distribution points for our existing client base. I have now met with all of our existing channel partners, and the channel team is very -- has a very encouraging pipeline of new partners. We plan to work closely with our eRx partners to get better reach into the HCPs. There are companies that -- these are companies that bring e-Prescription platforms into the EHRs, like Dr. First, one of our key partners. This market is very dynamic, and we continue to believe it is a channel which requires leadership around how to deliver content to medical professionals and patients, which are in line with all guidelines. We want to be that leader. 
 During the quarter, we announced our first partnership in the independent pharmacy space with RxWiki, a rapidly growing, digital health care company with a network of 1,300 community pharmacies. This strategic partnership is a natural extension of our business into pharmacy and adds additional distribution points for our financial messaging or eCoupons. We are beginning to see initial revenue generated from partnerships, such as TrialCard in RxWiki, and we will pursue those very strongly through the remainder of the year.
 As we talked about in the last call, turning to our key partnership with Allscripts, the integration of our eCoupon functionality within their Touchworks EHR platform is on track, I'm glad to say, to launch in late 2016 and then on a wider scale in Q1 2017. As a reminder, this is approximately 50,000 additional HCPs, where we have an exclusive relationship for financial messaging with Allscripts, a terrific partner of ours. 
 In summary, our momentum continues in acquiring, integrating and expanding into new promotional EHR, eRx platforms. We are actively engaged in discussions with several EHRs to integrate our technology into their platforms. We're also working extensively with our EHR partners to expand the reach of our messaging products to all of their health care providers as well as to increase the utilization of the financial messaging functionality by their existing users. 
 With the growth of both our pharmaceutical products and our distribution network, we expect our distribution of messaging will continue to increase year-over-year. We plan to launch our proprietary messaging technology in the current quarter, Q3, with a revenue impact in Q4 as well as in 2017 and beyond. 
 Now with that, I'd like to open up the call to questions. 
Operator: [Operator Instructions] And for our first question, we go to Neil Feagins [ph]. 
Unknown Analyst: Look, it's very exciting to hear the traction that we're making with WPP. I think a lot of us understand how the coupon program works. I wondered if you could use the 12 new brands that we've signed for clinical messaging, could you use those and maybe give us an example of the type of message, how long a messaging program would run? What kind of revenue mechanism are we operating under? In another words, how are we paid? And who's funding the payment to us? Help us understand a little more about how all that is going to work as we start to make that a bigger part of the revenue stream. 
William Febbo: Absolutely, Neil [ph]. Good question. I can't speak specifically to a brand or a manufacturer because they're very sensitive about that, but in essence, we have -- we are paid by pharma. So it is a manufacturing sponsoring a message. And the message would also be embedded into the workflow, similar to eCoupon, which comes up once the brand is typed by the physician. This is real estate to the right within the workflow that would have a clinical message, which sometimes is branded, similar to a banner ad, and other times, it's very plain text, which leads to a pop-up window. We are paid by clicks, that's all tracked the same way we would track a distribution of the eCoupon site. So very similar business. The buyer is the same. The intention is the same: It's to increase awareness of clinical advantage. And the importance is becoming more and more focused for pharmaceutical companies because of this new channel at point of care. Traditionally, this would have been a media spend in Internet-based services, print media, typical media budgets. This is a relatively new space, so it's growing quickly. It's one of those few spaces, where a pharmaceutical can sit back and really understand that it's getting to the HCP, and they love that it's in the workflow at point of care. 
Unknown Analyst: And Will, like what is just -- look, just a typical -- what is a typical pay per click to us? Is it pennies per click? Or is it dimes per click? How do we think about that? 
William Febbo: It's -- we don't disclose the per click, but it's basically similar budget sizes. They generally want to -- if they're a first-time user, they'll run a $50,000 to $100,000 program. That's usually a 6-month window to be able to allocate that, sometimes that happens more quickly. Other times it does take the full 6 months, depending on the therapeutic area. But I -- it's very similar in nature around the budget sizes. And the key aspect that I mentioned earlier in the presentation around CMI, which is one of the new companies owned by WPP, is they're really one of the major media companies in health. So we are -- we were very excited to see that. And hats off to Terry Hamilton, our SVP of Sales, who's really done a terrific job with that relationship. 
Unknown Analyst: Okay. And 2 more real quick questions on this topic, and I'll get back in the queue. You said, we have about $600,000 of revenue potential from the wins with WPP, the 15 new drug brands and the 12 new messaging opportunities. Is that $600,000 per quarter? 
William Febbo: I have to be a little careful on guidance with revenue. 
Unknown Analyst: Well, you gave us a number, I -- there wasn't -- because I took 15 new brands x a $125,000 average per brand on the coupon size, and I came up with $1.8 million a year just from the brand. So I'm just wondering, how -- where does the $600,000 come in? 
William Febbo: I think if you use your formula, you can determine what an annual run rate would be. So it's -- that's material revenue for this year, that I mentioned. 
Operator: [Operator Instructions] And for our next question, we go to Harvey Poppel with Poptech, LP. 
Harvey Poppel: Yes, just to pick up on this clinical messaging for a moment that you're -- and brand support both. Just trying to get a better idea of the economic model. I know you don't want to disclose the click pricing, but can you -- are you doing about the same level of revenue share with each of these? Or does the revenue share percentage, your gross margin change from the 40%, 50%, 51%, 52% that you're hinting right now? 
William Febbo: We have a slightly better margin on messaging, mainly because of -- there is no royalty associated with it. We've about a 10% better margin on messaging, and that's material in our business as we scale. Relative to our channel partners, we have 2 levels to messaging. Prior to me joining the firm, we basically used other people's messaging technology, so we had a smaller revenue share. We have built our own now, and we're in the process of embedding that into certain partners. And that would be a 50-50 revenue share, traditional to -- similar to the eCoupon. 
Harvey Poppel: What about brand support? I know that you've talked about that. It includes variety of different activities. But is that a consulting type of business? 
William Febbo: Yes, it's very tactical. I always get a little nervous with the word consulting because there are certainly firms out there that consult and -- with strategy. We have just given the network we have into the EHR and the very tactical nature of making sure formulary's correctly placed. We tend to -- we've repositioned it so that brand support is -- we're really hitting most of our clients prelaunch. Because once they're launched, generally, these are -- these things are cleaned up pretty quickly. So it is consultative in nature, but it's very tactical. It is done by the team in Michigan, and it is priced on a project basis, but generally a 6- and 12-month period. And if you look at the launches coming up, the reason why I'm excited about this business is -- you can see the number of brands that are going to be launched. You can be proactive in selling this service, and it's almost like an insurance audit service. And I think as the industry continues to adopt EHR as a point-of-care channel for marketing, like everything, they're going to want assurances that it's accurate. And so I think we're going to have nice growth here. It also creates a bit of a switching cost because you get to know the brand manager a little deeper, you get to know the network and how their formulary sits within it. So it's all -- so more touchpoints with the clients. It is the same client, so we're not going to a different group. And it's often included in our statements of work now just as a default, and then they can choose to keep it or not. 
Harvey Poppel: Does the conversion rate from brand support to financial messaging, has that historically been pretty high? 
William Febbo: What's nice is they go together pretty well. And right now, we consider them one, but the -- some of the upselling we've seen over the last few months has come from someone we already have the eCoupon for that we maybe didn't have the brand support. So it's often that the financial messaging will drive it. And because it's often a lot less, even though it's very high margin, because we don't share any of that revenue, that is 100% ours minus our cost of people, it's a nice product to have in the mix in terms of contribution. 
Harvey Poppel: Okay. Also, the numbers you gave earlier about brand support growing $0.5 million in all of 2015 to $800,000 or so year-to-date or through first half, by subtracting that out of the total revenue, it would imply that your financial messaging business really is growing only in the single digits. 
William Febbo: Yes, we did see it slow down and lately, we've -- and I think that was partially a little bit of a hangover from the year before, where we had some distractions around raising money and hadn't built out the sales team yet. But I've seen the pipeline start to come back. We've -- we had some brands drop off in the early half of the year that just went generic. And I feel good about financial messaging coming back pretty strongly in the second half and continuing to grow. I no way think that market is tapped out. It's -- we've got a long way to go there. 
Harvey Poppel: And with respect to that, just same question I know you were asked last quarter. And that is the urological EHR that had dropped out last year. Any signs that they're coming back? 
William Febbo: Nothing definitive, but I'm someone who gets very tired of waiting. And so we have with James and his team, we've started conversations 2 or 3 months ago with other urology- and oncology-based EHRs. And we haven't signed one yet, but we have several very good conversations going on. I still think they're going to come back. We just can't, as a company, we can't wait for them. Good news is the clients -- Terry's managed the clients well. They understand it's not us. And we're hopeful we can -- if they come back plus some of these other urology-, oncology-focused EHRs, we'll be in a really good position. 
Harvey Poppel: Okay. Final question is, have you had any success with certain forms of generics, where they're kind of a special generics. They're almost branded, but they're not quite. 
William Febbo: Yes, this whole cash card business. We -- so we're in the midst of finishing our third test. We -- I think last call, we talked about our second test, and we're actually pretty encouraged by what we're seeing. The trick is doing it in a way that -- finding the right partner. We think we have them. We just haven't inked that deal yet. But I would say, I'd have some material data to share at the end of Q3, my guess is with a pretty solid partner, and it's definitely a piece of the puzzle. You see companies like Blink, who is helping people connect to generics at a lower cost. You look at GoodRx, which is good for the cash-paying people out there, just finding where drugs are cheaper. So you've gotten some interesting consumer plays. The issue always comes down to the pharmacies, where you have a disconnect between just a database online and actually getting it fulfilled at pharmacy. So we're very much paying attention to this space, not just generic, but across the board and talking to all the players because we want to be the connector for industry, the manufacturers. And that is a priority for us as a product development, something Brian Dillon's working on with me. 
Operator: [Operator Instructions] And with a follow-up question, we return to Neil Feagins [ph]. 
Unknown Analyst: Will, I just have one more question on the clinical messaging. When we're already embedded into the technology of EHRs, like, we'll just say Allscripts and Dr. First, when we're already doing the coupon programs, is it just laying a new product over the existing technology to do messaging? Or does it require software development and integration with them that has a lengthy lag time? Or is it simply a matter of them wanting to expand with us? 
William Febbo: Well, there's a couple of ways to answer it. For people who have for -- our EHR partners, who already have a messaging platform, they're really just looking for content, right, people like Allscripts and Dr. First. And there are -- our payout is really far less because they're really embedding -- they have the technology. We're just bringing some content, but -- so on that level, we can -- that's all we're doing today, right? And that's what we've been doing to the last 18 months. On the new technology that we've built, the answer is yes, it's going to take some time. I think the companies that are most motivated to have that happen faster are the smaller EHRs with good populations of HCPs in therapeutic areas that are relevant to our client base. So we have a strategy, of course, of working with the bigger ones, who often have theirs but could maybe be interested in our newer user interface; and then looking at some of the smaller EHRs that would be very motivated, just given the need for more revenue at that level, so yes and no. 
Unknown Analyst: Okay. And then switching gears completely here. Operating cost, $1.6 million for the quarter, is that a good number to use going forward? Or are we going to see that continue to climb with new hires and so forth that are already in the pipeline? 
William Febbo: I'm -- I think I said early on, we're going to try to focus on top line growth and not the bottom. I was a very encouraged with the spending, that we were still cash flow positive operationally. I think that shows that I'm not just spending for the sake of spending. I have my -- I think we have the majority of our hires complete. Any ones that are remaining would be in the sales and marketing, and then account management based on growth beyond budget. So I think it is a good number, plus or minus a little bit. 
Unknown Analyst: Okay. And you gave us a good little update on generics. It sounds like we'll be hearing more about that later in the year. Is there anything you want to say about the animal-mad market? Or is that not really even on the stove anymore? 
William Febbo: It's definitely on the stove. There's -- it's about a $200 million market opportunity, so ignoring it would just -- wouldn't be responsible to shareholders, and there was some moment on it before I came. So I reorganized the team. We built a business plan around it. That's an area Dave Harrell is helping with, which has been terrific. And I think there is some strategic value to having that, both human and animal health, on the financial and clinical messaging. And just to give you more context on that, the reason why I think it's so critical, aside from revenue potential, is that's our losing business, losing their script business, their prescription business, basically. So -- and that's about 30% of their revenues. So they're highly motivated to have something -- some service that keeps the client there to buy the prescription. And several of the larger players obviously listen to their vets because that's their client. So we're talking to the right ones. We've got a good team, but nothing tangible to report yet. 
Unknown Analyst: Do we need a new partner to go after that vertical? Or by chance, can WPP play a role there? 
William Febbo: In fact, they have. One of the team members was someone they introduced us to, and he's terrific. But no, we are in good discussions with the right 2 or 3 that have the majority of the market. 
Unknown Analyst: Okay, well, I'll just get off the line by saying, it looks like you got all the wheels turning in the right direction. It looks exciting, and don't be bashful about talking to us in between quarterly conference calls in terms of a little bit more news flow. 
William Febbo: Yes, I was hoping to have a little more prior to this earnings call. That is a priority, and the good news is, when we do sign things, the people we're signing with are very open to us talking about it. We -- on the manufacturing side, it's really frustrating because you just can't. They don't allow it. 
Unknown Analyst: Well, that -- like, we've talked offline, Will, we don't really care who the customer is or what the brand name is. It's just a generic reference to any of your customers or brands is more than enough. It's just the win and some of the metrics around it that really keep the interest level up. We don't really need to know who the manufacturer is, if you know if what I mean? 
Operator: And with a follow-up question, we return to Harvey Poppel. 
Harvey Poppel: Yes, just one quick one. Any progress with the litigation, the royalty litigation? 
William Febbo: Nothing to report now. The company we have litigation with is now owned by a private equity firm in San Francisco and run by someone completely new. So I don't have anything to report, but it's ongoing. It's something we're very -- I'm very focused on and still remain hopeful that we'll be able to get through it. 
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Febbo. Sir, please proceed. 
William Febbo: Thank you. Thanks for calling in. We see there's a good list of people who called in. The phone is always open for anyone, and I am very encouraged by the team, as I said, the market. And I think that we have an opportunity in front of us, and we have some nice barriers in the way of others. And I look forward to reporting back at the end of Q3. And in the meantime, hopefully, we'll close some things we can announce and get people excited about the opportunity to invest in OptimizeRx. Appreciate everyone's time today. Thank you. 
Operator: I would like to remind everyone that this call will be available for replay starting later today. Please refer to today's press release for dial-in replay instructions. A webcast replay will also be available via the company's website at www.optimizerxcorp.com. Thank you for joining us today. You may now disconnect.